Operator: Thank you for standing by, and welcome to the Harley-Davidson’s Fourth Quarter and Year-end 2022 Earnings Conference Call. Please be advised that today’s conference is being recorded. I would now like to hand the conference over to Shawn Collins. Thank you. Please go ahead.
Shawn Collins: Thank you. Good morning. This is Shawn Collins, the Director of Investor Relations at Harley-Davidson. You can access the slides supporting today’s call on the Internet at the Harley-Davidson Investor Relations website. As you might expect, our comments will include forward-looking statements that are subject to business risks, that could cause actual results to be materially different. Those risks include, among others, matters we have noted in our latest filings with the SEC. Joining me this morning are Harley-Davidson’s Chief Executive Officer, Jochen Zeitz; in addition, Chief Financial Officer, Gina Goetter is with us and also LiveWire President, Ryan Morrissey. In addition, Harley-Davidson’s Chief Commercial Officer, Edel O’Sullivan will join for the Q&A portion of today’s call. With that, let me turn it over to our CEO, Jochen Zeitz, Jochen?
Jochen Zeitz: Thank you, Shawn, and good morning, everyone. As we conclude the second year of the Hardwire, our five-year strategic plan to drive profitable growth, Harley-Davidson delivered a strong finish to the year. We are pleased with our performance for 2022 with the execution of our strategic pillars, driving an 8% increase in revenue and a 14.1% increase in total HDI net income. Through the foundational work of the Rewire and the execution of our Hardwire strategic plan, we have changed our overall approach and focus as a business from prioritizing unit growth at all costs, to a more holistic view on profitable growth of motorcycles, parts and accessories, apparel and licensing and Harley-Davidson Financial Services. This strategy contributed significantly to the increase in our margin to 13.9% at HDMC excluding LiveWire, compared to 7.6% in 2019 with a three-point margin expansion and a much more effective and efficient allocation of our resources, leading to an EPS growth of 18% to $4.96 despite all the supply challenges that we had to face throughout the year. As you know, Harley-Davidson is on a transformational journey, and even though the economic environment continues to evolve, we remain optimistic about the significant potential of the Harley-Davidson business for 2023 and beyond. I will briefly address our six Hardwire strategic pillars and our delivery of them over the past year. Profit focus. We are committed to strengthening and growing our position in our strongest motorcycle segments in Touring, large Cruiser and Trike. Not only are these segments the most profitable in the market globally, but we also believe these segments offer potential to inspire more engagement, while compelling new customers and riders to choose Harley-Davidson. Our 2022 lineup revealed eight new models, each powered by the Milwaukee-8 117, the most powerful factory installed engine ever offered by Harley-Davidson. With the Hardwire, we also made the commitment to introduce a series of motorcycles that align with our strategy to increase desirability and to drive the legacy of Harley-Davidson, namely through our Enthusiast and Icons offering. We’re especially excited about the future of both collections within our product lineup as we enter the 120th anniversary of Harley-Davidson. Selective expansion and redefinition. Aligned to Hardwire, we are committed to expanding where we have the right product to win and where the profit profile is right. Delivering new-to-sport riders as part of our objective to attract new customers to the brand, in addition to expanding the garage of our existing riders. With this in mind, in April, we started a new chapter in Harley-Davidson sports history with the launch of Nightster. Building on the 65-year legacy of Sportster, we wanted to push both our performance and design capabilities while ensuring the bike was an entry point to Harley-Davidson motorcycling and our brand. We also grew our adventure touring retail sales globally by over 30% on the modular RevMax platform. We continue to execute our Hardwire priorities across markets and regions. In particular, we emphasize profitable growth in EMEA and LATAM with the latter region becoming profitable for the first time since becoming a stand-alone region. We’re also encouraged by the early results of our focus on APAC expansion with Japan now is our second largest market, China had its highest volume ever and with other sub-regions also delivering growth at attractive profitability levels. Over the course of 2022, we also finalized the launch of our new Riding Academy bikes, the 350RA. This bike will replace the sunsetted Street500 and will breathe new life into our Riding Academy program as we plan for its expansion and development in future years. This program and the concerted follow-up actions by our network of dealers represent a critical pipeline for new and returning riders. In our May Analyst and Investor Meeting, we set out our ambitions and our growth beyond bikes pillar with an increased focus on apparel and licensing as a new key driver of our Harley-Davidson Lifestyle. Since then, we’ve been building our core apparel and licensing competency, including creating a best-in-class team to deliver on this ambition long-term. Riding gear must be a core competency of the company and brand. We’ve been evolving our motor clothes offering, executing a seasonal forward-looking plan, strengthening and modernizing the way in which we design, develop and source our products, driving efficiencies through the business while growing our motocross offering. Harley-Davidson Lifestyle is where we see the overall apparel and licensing opportunity, especially as it relates to non-riders, but also existing and new brand aficionados. By creating a unique Harley-Davidson aesthetic, taking inspiration from the past and evolving it for today’s consumer, we think we are able to bring more interest to people to the brand, leveraging the unique power of the Harley-Davidson Lifestyle. In 2022, we saw a 19% increase in our apparel performance, a solid proof point that our strategy is working and that the investments we are making are starting to have a positive impact on our performance. And we have lots of exciting developments in the apparel and licensing that we’ll be telling you about this year. Our parts and accessories business was negatively impacted in 2022 due to supply chain challenges and lower retails, but still grew 7% on a per bike basis and exceeded our 2019 results. Two main elements are driving our plan for future growth in P&A, customization and service growth. Customization, which is at the heart of motor culture is an integral part of the overall Harley-Davidson Lifestyle. P&A allows us to have a truly personal relationship with our customers and their bikes. And service growth at the dealership with an emphasis on convenience, expertise and value. Our Service Business Consulting program launched in 2022 has grown P&A revenue through service and participating dealers by 14%, well ahead of surrounding dealers. We also took the first steps towards redesigning the service journey with the launch of an online service schedule on hd.com. And lastly, we’ve changed the way we operate, integrating our P&A team into our motorcycle management function to continue to reduce complexity and focus the offering while fully aligning with our motorcycle lineup. We’re also planning new developments in our online bike build and configurator integrated to the dealership to allow for improved customer inspiration and ease. Integrated customer experience. Delivering our growth ambitions requires us to provide experiences that exceed expectations for modern retail while leveraging digital and physical channels as part of our dealer network. This vision depends upon a modernized approach to inventory management, more digital enablement of the customer journey and enhanced omnichannel capabilities, something that was not a competency of Harley-Davidson in the past. In 2022, we enhanced our reservations and preorder systems and piloted a new inventory management and distribution system, producing fulfillment time, allowing for better availability without expanding in dealership inventory. 2022 also saw the launch of our Project Fuel program, which will provide a much-needed redesign of our dealerships. This program is in full swing globally. And in North America, 15% of our network is already signed up. As we ramp up and expand Project Fuel, we are also embarking on an effort to redefine the Harley-Davidson customer experience that leads the footprint transformation with particular emphasis on our brand and marketing integration and critical customer journeys, but more on this as the program is established. Inclusive stakeholder management. At the last quarter, we hinted our plans to invest in our hometown Milwaukee and specifically our Juneau campus. Earlier this month, we announced a redevelopment at Juneau, which will start with the community part to serve the local community, the people of Milwaukee and our employees. In partnering with the Harley-Davidson Foundation and internationally acclaimed designers Heatherwick Studio, we feel this project will deliver a big impact to our community. Take a look at the plans online if you haven’t seen them already. And lead in electric. 2022 of the completion of our business combination between LiveWire and AEA-Bridges Impact Corp with LiveWire becoming the first EV motorcycle company to list on the New York Stock Exchange. This is the first quarter of LiveWire reporting independently. I’m going to hand over to Ryan Morrissey, President of LiveWire to run through some more details about LiveWire’s performance and about what is on the horizon.
Ryan Morrissey: Thank you, Jochen. Good morning, everyone. 2022 was a banner year for LiveWire, many major milestones, including the completion of our listing on the New York Stock Exchange. LiveWire is building on the energy the September listing brought to our brand and our organization. Our teams continue to operate with the benefit of the full support of our strategic partners at Harley-Davidson and KYMCO. We finished 2022 above expectations, delivering 97 motorcycles over the planned 500 units. The LiveWire ONE continues to earn rave reviews as more and more riders are introduced to the LiveWire experience. As we move into 2023, investment into product development continues to be on the top of our priority list. Our engineering teams are laser-focused on advancing the technologies, platforms and products that will further our position as pioneers of the industry. In 2023, we expect to see the introduction of LiveWire ONE to the European market and the launch of the S2 platform. Based on preproduction builds, we expect to begin selling Del Mar in the second half of 2023 behind our original plan for spring of this year. Given industry seasonality patterns, we expect this to have a meaningful impact on our originally planned 2023 units. On the commercial front, we continue to build and mature our retail partner network in the United States, with a physical location in 90% of the top 40 metro areas, all working as part of the omnichannel model designed to meet and exceed the expectations of our riders. The count of Del Mar reservations in the U.S. has continued to grow, building on the buzz created by our launch additions. The team is excited to bring LiveWire to Europe in 2023, led by a new Vice President for Europe. Our retailers across France, the UK, Germany, the Netherlands and Switzerland are readying to bring LiveWire to their markets as the riding season picks up. The powertrain facility in Wisconsin is tooling up and readying to produce the LiveWire S2 powertrains that will then be assembled into LiveWire motorcycles in Pennsylvania on the same line where we have been manufacturing LiveWire ONE. The support of Harley-Davidson supply chain and manufacturing capabilities continues to be a differentiating strategic asset. Finally, our STACYC brand continues to spread the electric experience to kids and delivered double-digit year-over-year revenue growth. 2022 saw the introduction of the new products the market has been demanding for older kids. The 18- and 20-inch bikes began retailing with a strong customer fund. And now I’ll hand over to Gina Goetter to talk through the financial performance of Harley-Davidson and LiveWire in greater detail. Gina?
Gina Goetter: Thank you, and good morning, everyone. As Jochen highlighted, we delivered a strong quarter in total fiscal year by staying focused on business fundamentals and executing on our Hardwire strategy. Q4 marks the first time we are reporting under our updated three-segment structure of HDMC, HDFS and LiveWire. HDMC houses our Harley-Davidson branded motorcycle, parts and accessories, and our apparel and licensing businesses. HDFS provides motorcycle financing, insurance and other services to our dealers and retail customers. They will continue to provide services to both HDMC and LiveWire. LiveWire is the new segment, housing the design, marketing and sales of electric motorcycles and STACYC electric balance bikes. Harley-Davidson owns an 89% interest in LiveWire and will continue to consolidate their results in the Harley-Davidson Inc. Fourth quarter results closed out a strong year with significant year-over-year revenue and operating income increases. Pricing actions and cost productivity ultimately overcame the impact of the production suspension in Q2 resulting in three points of operating margin expansion versus prior year. Looking at our financial results in the fourth quarter, total consolidated revenue of $1.14 billion was 12% higher than last year, with growth within HDMC and HDFS, and a decline in the LiveWire segment. HDMC wholesale motorcycle units increased 18% year-over-year and HDMC revenue was up 14%, driven by the increase in shipments and continued strength in global pricing. Harley-Davidson Financial Services segment revenue was up 7%, largely due to higher finance receivables. And the LiveWire segment decline was primarily due to a strong comparison period in 2021 as the company built inventory across their expanded distribution network. Total consolidated operating income of $4 million was $11 million better than prior year. Total operating loss at HDMC of $32 million is a $50 million improvement versus prior year’s losses. As a reminder, with the shift of the model year launched at the beginning of the calendar year, Q4 includes roughly 40% to 50% fewer wholesale units compared to the other quarters. HDFS operating income of $64 million declined by 32% as losses continue to normalize and higher interest rates resulted in a higher cost of funding. And finally, LiveWire operating loss of $29 million included a step-up in product development and people costs in line with expectations. Turning to full year 2022 results; total consolidated revenue of $5.8 billion was 8% higher compared to last year, and total operating income of $909 million was 10% higher. As Jochen mentioned, full year earnings per share was $4.96 compared to $4.19 for the same period last year. This 18% increase was driven by pricing and productivity offsetting the impact of the production suspension and cost inflation. We also had modest favorability in below-the-line items, which contributed to the accretion. Global retail sales of new motorcycles were flat in the seasonally smaller quarter, where we typically retail less than 20% of the year’s volume. Total 2022 retail sales ended down 8% globally, largely impacted by the Q2 production suspension and the timing of inventory replenishment to our dealers. For the full year, the decline of 12% in North America was primarily attributed to the production suspension in Q2, which disrupted the flow of inventory to our North American dealers during peak riding season. APAC retail grew by 12% with double-digit growth in Japan and high single-digit growth in China, driven by our focused investments into the region. Steady production as we closed out the model year resulted in more steady inventory flows into the dealer network. On a sequential basis, average inventory was relatively flat compared to last quarter and we continue to run about 40% less in 2019. We ended the year in a healthier inventory position and are set up for a solid start to the riding season. Throughout 2022, we realized strong pricing dynamics for both new and used motorcycles. For the full year, U.S. new motorcycle transaction prices finished within our desirability threshold of plus or minus 2 percentage points of MSRP. Looking at revenue; total HDMC revenue increased 14% in Q4 and increased 9% for the full year. Focusing on the key drivers for the full year, three points of growth came from volume driven by wholesale unit growth, 7 points of growth from pricing and lower incentives through both global MSRP increases and pricing across the parts and accessories and apparel businesses. Mix contributed 1 point of growth as we continue to prioritize our most profitable models and markets. And finally, 3 points of negative impact from foreign exchange as the dollar strengthened throughout the year. Focusing in on margins, annual gross margin for HDMC of 31.3% compared to 28.8% in the prior year. Stronger volume and pricing more than offset supply chain cost inflation and the impact from the production suspension. Additionally, in 2022, we lapped the unfavorable impact from the unexpected EU tariffs, which provided about 1 point of margin tailwind. In total, we continue to see supply chain costs stabilize with total inflation at 3% in the quarter, lower than 5% inflation in the first half of the year and 10% in the back half of last year. The deceleration in inflation continued to be largely driven by logistics, including lower expedited shipping expenses, and, to a lesser extent, raw materials and the impact of metal markets declining from peak levels realized last year. Overall, annual supply chain cost inflation was approximately 4%, which was down 1 point versus last year. For the year, HDMC operating margin improved from 10.6% in 2021 to 13.9%. The improvement was driven primarily by the factors noted above. As referenced back to our 2022 original guidance, the combined operating margin for HDMC and LiveWire finished at 12%, which is the high end of our guidance range. HDFS operating income in Q4 was $64 million, down 32% compared to last year. And for the total year, operating income of $380 million was down 23% finishing in line with guidance expectations. The annual decline was driven by a higher provision for credit losses and an increase in borrowing costs. In Q4, HDFS’s annualized retail credit loss ratio of 1.9% compared to a ratio of 1.2% in Q4 of last year. Total retail loan origination in 2022 was up 8.5% behind strong growth in used bike origination. We did see new bike originations growth 3.9% in Q4 as dealer inventories were replenished. Total year-end financing receivables were $7.1 billion, which was up 8.6% versus prior year. Total 2022 interest expense was up $25 million or plus 13% versus prior year. The increase was driven by higher average debt outstanding and a higher cost of funding. In addition, the retail allowance for credit losses finished the year at 5.1%, up from 5% for the first three quarters of 2022, with a slight uptick incorporating the current outlook on the macro environment. LiveWire finished its first quarter as a public company in line with our expectations. Fourth quarter segment revenue decreased by 28% to $9 million and full year revenue of $47 million was 31% ahead of prior year. The annual increase was driven by higher unit sales of LiveWire ONE and favorable product mix on STACYC bikes. In total, LiveWire sold 597 units in the year, which is about 100 units more than initial guidance, and STACYC revenue growth was driven by innovation behind two new balance bike models and pricing. For the full year, the operating loss of $85 million compared to a loss of $68 million in the prior year. The step-up in loss was attributed to increased investment behind product development associated with the S2 Del Mar platform and the advancement of its electric vehicle system as the company ready to launch of its second electric motorcycle slated for 2023. Additionally, 2022 includes investment in the build-out of the omnichannel retail network and planned expansion into Europe in 2023. Wrapping up with Harley-Davidson, Inc. financial results in full year 2022, we delivered $548 million of operating cash flow, which was down from $976 million in 2021. The decrease was driven by changes in working capital as well as higher net cash outflows related to wholesale finance receivables. Total cash and cash equivalents ended at $1.4 billion, which was $442 million lower than the end of 2021, this consolidated cash number includes $265 million from LiveWire. In line with our capital allocation priorities, in 2022, the company returned over $400 million to shareholders through dividends and share repurchases. As we look to our financial outlook for 2023, we expect HDMC revenue growth of 4% to 7%. The growth forecast incorporates approximately 2 points of unit growth, 1 to 2 points of mix, as we continue to focus on our profitable core business, and 1 to 2 points of pricing as we offset a more moderated inflationary outlook. Furthermore, we continue to expect the parts and accessories, and apparel and licensing businesses to accelerate top line growth in line with our Hardwire strategy. We expect HDMC operating income margin of 14.1% to 14.6%. We believe the anticipated positive impact from volume leverage, pricing, unit mix, and our productivity efforts within supply chain will offset expected cost inflation and currency headwinds. We expect HDFS operating income to decline by 20% to 25%. This decline is largely a result of the higher interest rate environment causing our borrowing cost to increase. Given the macro backdrop, we are also expecting loss rates to rise above 2022 and are planning for losses between 2% and 2.25%. For LiveWire, we are expecting a unit forecast between 750 and 2,000 units and an operating income loss range of $115 million to $125 million. This forecast incorporates the updated launch timing in the new Del Mar products. And lastly, for total HDI, we expect capital investments of $225 million to $250 million, as we continue to invest behind product development and capability enhancements. The step-up in investment is primarily driven by core product innovation, investments in manufacturing to automate and reduce costs as part of our productivity journey, as well as planned investments for LiveWire. In 2023, we are expecting more moderated inflation across the supply chain as logistics costs continue to stabilize. In aggregate, we expect about 2 to 3 points of inflation compared to 4% in 2022 and over 5% in 2021, with labor costs as the primary driver of the increase this upcoming year. And while we’re not back to completely smooth sailing in terms of supply chain efficiency, we are experiencing and expecting less volatility than the previous two years. One of our key initiatives identified as part of the Hardwire strategy is driving productivity to eliminate the $400 million of incremental supply chain costs incurred since 2020. In 2022, we delivered approximately $50 million towards that goal, and we are expecting another $140 million in 2023, with focused projects to increase production efficiency and eliminate complexity and waste. We also expect to continue to stabilize the supplier base and reduce expedited shipping costs. We continue to make good progress on improving the profit per bike with 2022 finishing at roughly $3,500 per unit. And with the initiatives in place for 2023 to drive mix and cost productivity, we believe that we will continue to make progress in getting back to historical levels of profitability. As we look to 2023 capital allocation, our priorities remain to fund growth of the Hardwire initiatives, which includes the capital expenditures mentioned previously, paying dividends and executing discretionary share repurchases. In 2022, we bought back 8.4 million shares, and we have 9.9 million shares remaining on our current Board authorization. Finally, we put in place a loan facility between Harley-Davidson and LiveWire given that the funds raised as part of the spin were less than expected. We do not expect LiveWire to draw on that facility in 2023. In summary, we are very pleased to have delivered our financial commitments in 2022 and are focused on achieving our targets in this upcoming year. And with that, I’ll turn it back to Jochen to wrap up.
Jochen Zeitz: Thank you, Gina. We continue to deliver on our Hardwire strategy, and in May we detailed our ambition to capitalize on the early success of our strategy, tuning the engine of our business for improved performance. We believe that by focusing on our six Hardwire pillars and related core initiatives and making bold moves in spaces where we can win, we can deliver not only further improvement in top, but also in bottom line performance in the long run. We continue to invest for long-term growth within our most profitable markets and categories where we see potential, and we are building capabilities that will allow us to expand our customer reach and experience, ultimately focusing on initiatives that create value for all our stakeholders. Lastly, 2023 is an important year at Harley-Davidson. Since 1903, Harley-Davidson has pioneered American motorcycle design, technology and performance. And this year, we’ll be marking our 120th anniversary with a year-long celebration. We will talk more about our recent model year 2023 release of 120th anniversary of product at the next quarter, but we’re excited about what is going to be an unforgettable milestone for the company, celebrating the history, culture and community of Harley-Davidson with our riders and fans, reaching new customers and bringing more people to the brand. We want to make – we’ll walk you the ultimate destination for motor culture in the world. And with this anniversary, we are making a commitment to our hometown, but also to our community. We hope to see you all there. Thank you. And now we’ll take your questions.
Operator: Thank you. [Operator Instructions] Your first question comes from Craig Kennison with Baird. Your line is open.
Craig Kennison: Good morning. Thank you for taking my question. I’m curious, how would you interpret the demand signals you are seeing across your spectrum, whether it’s from subprime consumers to more affluent consumers, or if there’s another way to suss out what the demand trend looks like, it’s a pretty difficult macro right now to forecast?
Jochen Zeitz: Yes, it’s Jochen here. Thank you for the question. Demand segments are early, right? We haven’t really entered the riding season yet. Overall, what I can say is that January has been performing in line with our expectations. But as season unfolds, obviously, we will know where demand sits. Right now, we feel comfortable overall with the inventory that we have. We feel comfortable with the demand signals that we are seeing, but time will tell. Overall, we expect a flat to slightly positive retail growth for the year with the positive – when it shows up to mostly appear in the second and third quarter simply because we had our – with our core riding seasons and quarters. So overall, we do expect a flat to positive retail growth, and that’s our anticipation. And I hope that answers your question about demand signals. It’s still early on in the year, but overall, we are quite positive. 
Craig Kennison: Just to follow up on that, a positive – go ahead, Gina. Sorry. 
Gina Goetter: Craig, good morning. I was just going to give you some color on how you were asking about prime, subprime and applications. So overall, as Jochen said, still early days in January performing in line with expectations. Overall from a retail environment, from a loan application standpoint, we are still seeing quite a bit of interest come in, frankly, across both prime and subprime. So our loan application volume in the month and really as even at the back half of last year has continued to stay strong. 
Craig Kennison: Great. Thank you. 
Operator: The next question is from Robbie Ohmes with Bank of America. Your line is open.
Robbie Ohmes: Hi, thanks. I’m going to slip in just a quick follow-up and then one different question. Just a follow-up on the first question is, would – do you guys expect retail in your shipments to sort of track in line in 2023? Or is there still some dealer fill in? And then just on the dealer network, maybe Jochen, could you kind of update us on how you’re thinking about further consolidation of the dealers for 2023? And what dealer-focused initiatives you guys are most focused on for 2023?
Jochen Zeitz: Sure, Robbie. In terms of your – the question about retail. As Gina mentioned, we expect about a 2% unit growth from motorcycles for the year. And that would include a slight pipeline lift in addition to the retail guidance that I’ve given. So positive retail guidance and small pipeline filling would equate to the 2%. So it’s a combination for both at this point in time. And Gina – sorry, Edel, do you want to talk about the network?
Edel O’Sullivan: Yes. Thank you, Jochen. Good morning, Robbie. A couple of initiatives that are critical for us in this year as we return to a stronger inventory position, and we face into the anniversary year. The first and Jochen referenced it in his comments is around Project Fuel, which is the upgrade of our facilities across the globe. This is a program that is incredibly important. We believe it is long overdue and it is proceeding at pace. It is a significant investment for our dealers, but it’s one that we believe will pay off in terms of the opportunity for expanded growth and outreach to more diverse segments of riders. So that’s one big priority for us. The second one is to continue to emphasize the balance of desirability and profitability. There are a couple of initiatives that we are pursuing. Obviously, we will find opportunities as the year goes along to continue to emphasize the message around affordability, but also restrained and very, very careful management of inventory for us is very important and some initiatives that we are driving in terms of an updated distribution system that allows for faster replenishment, but also a lot more control in terms of how much inventory is out there is an important part of a value story, which is relevant to us, to our dealers and to our consumers in terms of the product holding its value over time.  And then the third initiative that I would highlight is, of course, this is our anniversary year. It is very important not only for the bikes, but also for the apparel, which is early indications would say, has been extremely well received, but also all of the activities around engagements and consumers that involve our dealerships as well as our headquarters and all of the activities that Jochen mentioned in Milwaukee. So those, I think, are three big pillars that we will be pushing forward this year. 
Robbie Ohmes: Sounds great. Thank you. 
Operator: The next question is from Fred Wightman with Wolfe Research. Your line is open.
Fred Wightman: Hey guys. Good morning. Thanks for the question. I was hoping you could just unpack the dealer inventory numbers that are in the slides. I know that you’re still down pretty big versus 2019. But if we just look at that sequentially, it does look like it built and then you’re obviously dealing with model year changeover as well. So, can you just sort of unpack where units are, where you saw that sequential build and sort of how we should think about that going forward?
Jochen Zeitz: So, we have 34,000 units in the network now. That’s the dealer inventory level. That’s 15,000 more than in 2022, which, as was an extremely low level of inventory at the time. If you look at this from a historic perspective, that level is 60% of 2019. So pre-pandemic, 60%. So it’s still an extremely healthy level. Thankfully, we have more inventory in the network right now. And we are finally getting back to a better spot. So overall, I’d say, we are good in terms of inventory and that should help us to start the riding season in a healthier position than we have previous year. 
Operator: The next question is from Joseph Altobello with Raymond James. Your line is open.
Joseph Altobello: Thanks. Hey guys. Good morning. I guess first question, I’ll cut right to the chase. There’s a lot of moving parts here. But if we look at your guidance this morning, I think it equates to roughly EBIT guide for 2023 of around $850 million to $875 million. So if you could clarify that for us, that would be great. And maybe secondly on LiveWire. The estimate coming into this year or at least what you gave us back in December of last year, 2021 was about 7,000 bikes. You’re looking at about, call it, 2,000 bikes this year. Why the slow start? And how quickly or how willing would you be able to kind of pivot if you don’t see demand start to materialize in that business? Thanks.
Gina Goetter: Hey, Joe. Good morning. This is Gina. So on your first question here, you’re in the right zone on overall EBITDA guidance when you kind of add up all the three different segments. So, I would say you’re thinking about that generally right. And I’ll turn it over to Ryan for LiveWire.
Ryan Morrissey: Yes. Thanks, Joe. On the LiveWire front, to your question on the units and the change in expectations there, the majority of the 2023 units were expected to come from Del Mar. And as we talked about in the opening comments, we’ve changed the time line on that bike. So given the new time line, we’re now expecting sales to ramp up in the second half of the year for that motorcycle. So, we brought the units down accordingly, taking the industry seasonality into account. So the bike continues to look amazing. We’re laser-focused on getting it to market, but the change in the time line is what’s driving that change in the units.
Operator: The next question is from James Hardiman with Citi. Your line is open.
James Hardiman: Hey, good morning. So, I wanted to hone in on that, I think you said flat to positive retail growth for the year. Maybe unpack how you’re thinking about the industry – the broader motorcycle industry, which I know you don’t entirely compete in all those categories. So maybe Touring and Cruisers, how you’re thinking about those segments sort of based on what you’re seeing in the market right now and then sort of assumptions for market share, obviously? We don’t know what your product pipeline is, but how you think about? How you’re going to perform relative to the industry to get us to that flat to up retail number?
Jochen Zeitz: Yes. Look, we are – I’m not really looking at the industry at this point. I’m just looking at what we think we can achieve as a company, as a brand in 2023. So unpacking retail, if you look at our seasonality, as I said earlier, we would expect then in order to achieve a flat to slightly positive retail growth that to come in the core quarters of the second or the third quarter with the first and fourth being flat or slightly down. So that’s how the year would unfold.  But in terms of the industry, we’re really focusing on our segments and we believe that we can – we have an opportunity here to grow. That said, we want to absolutely make sure that the desirability of our product, the MSRP, in market is – and the desirability is maintained. So whatever the demand will bring, we’ll adjust accordingly to protect our profit margin. But overall, what we are seeing now is good demand, but it’s very early. So any demand segments now cannot be taken as an indicative demand segment for the coming months?
Gina Goetter: Hey James, this is Gina. Just to provide a little bit more color there on the flat to positive. So as Jochen said, we don’t really hone in and focus much on the share gains. I mean we are the categories when you think about Touring and Cruiser, we are the market. When you look at what we delivered, I think we had it in one of our slides, we did deliver share growth in those categories in 2022 within the U.S. Also keep in mind that we are comping as we get into Q2, Q3, the production suspension.  So even though on the back end, we were able to make up from a wholesale shipment standpoint in 2022, we really missed out on key riding season. So as you think about our retail growth next year overall, Q1, Q4, probably more muted where you really see the benefit is going to be within Q2, Q3. 
James Hardiman: Makes sense. Thank you.
Operator: The next question is from David MacGregor with Longbow Research. Your line is open.
David MacGregor: Yes. Good morning everyone. I guess just a quick one for the model on free cash flow. I mean, you’re coming off $548 million 2022, I noticed you haven’t provided explicit guidance on free cash flow. But how should we be thinking about that in general terms? And what’s achievable in terms of working capital give up as a contributor to that number?
Gina Goetter: Good question. Good morning, David. This is Gina. So overall, I would say similar levels of cash flow as we head into 2023. So there’s nothing atypical. Obviously, in 2022 we had the LiveWire investment that we were making. We will not have that as we move into 2023. So I’d say similar levels overall. From a working capital standpoint, one of our big focus areas as we move into next year is just keeping our eye on that inventory number and making sure that we’re mindfully kind of reacting to and bringing that down as we move through the year. As we end the year, always keep in mind, right, we’re building inventory on our balance sheet as we end the fiscal year. That starts to bleed out through the first part of the year, both in terms of finished products – finished motorcycles as well as all of the apparel and licensing and P&A that go along with them. So even though it looks high at the end of the year, that bleeds itself down through the first half. 
David MacGregor: Good. Thank you. 
Operator: The next question is from Gerrick Johnson with BMO Capital Markets. Your line is open. 
Gerrick Johnson: Hey, good morning. I had a couple of product questions. First, the 350 bike, you mentioned about populated Riding Academy. Is that something that will be available for graduates to purchase when they do complete the course? And then on the CVOs [ph], I know you’ve got one out now. I think in the past, you kind of launched them all at the same time, and that seems like a rolling rollout of the CVOs. Can you just explain or talk about the strategy behind the CVO launches?
Jochen Zeitz: Yes, Gerrick. So the 350 is not going to be available for purchase in North America. It’s exclusively for Riding Academy. As I said in our launch video, we have a few things still up our sleeve. But obviously, we’re very excited about the CVOs that we’ve already launched. If and what might be coming later in the year, we’d have to wait a bit longer for that. But overall, I think we have a very strong product and the reception for what we’ve launched has been very strong already. 
Gerrick Johnson: Okay. So no production delays to worry about. It’s a conscious decision to launch these on a rolling basis then?
Jochen Zeitz: Not from today’s perspective. We’ve seen a good destabilization in our supply chain. It’s certainly not yet back to normal, but we feel confident that we are able to deliver the bikes at this point in time. 
Gerrick Johnson: Okay, thank you.
Operator: The next question is from Jamie Katz with Morningstar. Your line is open.
Jamie Katz: Hi, good morning. First, a clarification. You guys noted historical levels of profitability is what you’re looking to get back to. I want to make sure that doesn’t mean peak level of profitability. So maybe mid-teen operating – motorcycle operating margins versus high-teen motorcycle operating margins? And then the other question I have is on LiveWire. I understand the issue with units being pushed back in 2023. But does that still keep you on that 2024 trajectory to deliver more than 15,000 units? And if not, does that derail your ability to eventually get to positive EBITDA in 2026, which was the initial outlook? Thanks.
Gina Goetter: Good morning, Jamie. This is Gina. I’ll take the first part of that. So in terms of historical levels of profitability, you’re headed in the right direction when you say is it more of the mid-teens. We are laser-focused on getting back to what we committed to as part of our Investor Day in May of getting that margin back to that, call it, 15%. So that’s where when we say historical, not peak. 
Ryan Morrissey: Hey Jamie, on your question on LiveWire, a couple of thoughts there. Generally, the discussion on Del Mar in the event of 2023, don’t have any impact on our vision or our long-term strategy or our near-term priorities. We’re continuing to see the long-term direction of the vehicle markets and continue to have the strongest position to lead into wheel with the help of our strategic partners.  So we’re focused on 2023 today, but safe to say, we’re continuing to focus on innovating in the core EV systems, the product portfolio and expanding our distribution. And we think if you continue to look at the long-term trajectory and the long-term goals that we’ve set for the company, they continue to be the right ones. 
Operator: There are no further questions at this time. And this will conclude today’s conference call. Thank you all for joining. You may now disconnect.